Operator: Hello, and thank you for standing by. My name is Regina, and I will be your conference operator today. At this time, I'd like to welcome everyone to the Total Energy Services Third Quarter 2025 Results Conference Call. [Operator Instructions] I would now like to turn the conference over to Daniel Halyk, President and CEO. Please go ahead.
Daniel Halyk: Thank you. Good morning, and welcome to Total Energy Services Third Quarter 2025 Conference Call. Present with me is Yuliya Gorbach, Total's VP Finance and CFO. We will review with you Total's financial and operating highlights for the 3 months ended September 30, 2025, and then provide an outlook for our business and open up the phone lines for questions. Yuliya, please go ahead.
Yulia Gorbach: Thank you, Dan. During the course of this conference call, information may be provided containing forward-looking information concerning Total's projected operating results, anticipated capital expenditure trends and projected activity in oil and gas industry. Actual events or results may differ materially from those reflected in Total's forward-looking statements due to a number of risks, uncertainties and other factors affecting Total's businesses and the oil and gas service industry in general. These risks, uncertainties and other factors are described under the heading Risk Factors and elsewhere in Total's most recently filed annual information form and other documents filed with Canadian provincial securities authorities that are available to the public at www.sedarplus.ca. Our discussions during this conference call are qualified with reference to the notes to the financial highlights contained in the news release issued yesterday. Unless otherwise indicated, all financial information in this conference call is presented in Canadian dollars. Total Energy's financial results for the 3 months ended September 30, 2025, reflect improved Australian financial results following the deployment of upgraded equipment and continued strong North American demand for compression and process equipment. Offsetting these tailwinds was lower North American drilling and completion activity. On a year-over-year basis, consolidated third quarter revenue increased by 8%. Contributing to this increase was $15.2 million of increased CPS segment revenue, $6.2 million from Well Servicing and $1.6 million from RTS segment. Third quarter EBITDA decreased by $7.6 million as compared to 2024 due primarily to the relative increase in lower-margin CPS and Well Servicing segment revenues due to consolidated revenue, the $1.8 million year-over-year negative foreign exchange impact on CPS segment results, and $1.5 million year-over-year increase in share-based compensation due to increase in the market price of Total Energy shares. Geographically, 48% of third quarter revenue was generated in Canada, 27% in United States and 25% in Australia, as compared to the third quarter of 2024 when 49% of consolidated revenue was generated in Canada, 34% in United States and 17% in Australia. By business segment, the Compression and Process Services segment contributed 48% of third quarter consolidated revenue, followed by the CDS segment at 32%, Well Servicing at 12% and the RTS segment at 8%. In comparison, for the third quarter of 2024, the Compression and Process Services segment generated 46% of third quarter consolidated revenue, followed by CDS at 36%, Well Servicing at 10% and RTS segment at 8%. Third quarter consolidated gross margin was 22% in 2025, which was 209 basis points lower than 2024. Contributing to this decline was a [ 417 ] basis point year-over-year increase in third quarter revenue contribution from CPS and Well Servicing segment as these business segments historically generate lower margins than the CDS and RTS segment. The year-over-year decline in North American drilling third quarter gross margin percentage in all business segments was partially offset by improved Australian results. Third quarter CDS segment revenue decreased 5% compared to 2024. The 33% year-over-year decline in third quarter North American operating days was partially offset by a 32% increase in Australian days. Segment revenue per operating day increased 16% during the third quarter of 2025, due primarily to increased pricing on upgraded rigs in Australia that was partially offset by change in equipment operating and competitive pricing in certain areas of Canadian market. Third quarter CDS segment EBITDA decreased by 3% compared to 2024 due to lower North American drilling fees that was partially offset by higher activity and pricing in Australia. CDS segment's EBITDA margin during Q3 of 2025 was consistent with 2024, as the overall decrease in third quarter operating days was offset by higher pricing for upgraded rigs and cost management. RTS segment revenue for the third quarter increased 8% compared to 2024. This was a result of stable utilization and an increased U.S. rental fleet following the June acquisition, combined with a higher revenue per utilized rental fleet due to the change in mix of equipment operating. Higher costs associated with the change in the mix of equipment operating and competitive market conditions that did not allow for the price increases necessary to offset cost inflation, resulted in a 7% year-over-year decrease in the third quarter RTS EBITDA, and 585 basis points decrease in segment EBITDA margin. Third quarter revenue in total CPS segment was 14% higher compared to 2024. Increased fabrication sales more than offset by 3% year-over-year decline in rental fleet utilization. Third quarter CPS segment EBITDA declined $4.2 million or 22% compared to 2024. $1.8 million of this decline was due to increase in cost of services, resulting from a weakening Canadian dollar relative to the U.S. dollar. Also contributing to this decline was the commencement of certain low-margin fabrication project awarded in 2024 when industry conditions were weaker and cost inflation arising from tariff-related supply chain challenges that were not fully passed on to the customers. The fabrication sales backlog at September 30, 2025, was $380.8 million, which is $76.9 million or 25% increase and is higher compared to $303.9 million backlog at June 30, 2025. In Well Servicing, a 5% increase in revenue per service hour combined with 19% increase in operating hours, resulted in a 24% year-over-year increase in third quarter segment revenue. Increased Australian and Canadian activity was partially offset by a substantial decline in U.S. activity. Higher pricing and increased fleet utilization following the upgrade of several rigs over the past year contributed to a 162% increase in third quarter Australian operating income. Offsetting this increase was a decline in North American operating income due to competitive pricing and substantially lower U.S. activity levels. Segment EBITDA for the third quarter of 2025 was 4% lower compared to 2024 due to lower pricing in Canada and substantially lower utilization in the U.S. that was only partially offset by increased Australian utilization and pricing realized for the reactivated upgraded rigs. From a consolidated perspective, Total Energy's financial position remains very strong. At September 30, 2025, Total Energy had $115.5 million of positive working capital, including $57.1 million of cash. Bank debt less cash on hand was $32.9 million at September 30, 2025. Total Energy's bank covenants consist of maximum senior debt to trailing 12-month bank defined EBITDA of 3x and a minimum bank defined EBITDA to interest expense of 3x. At September 30th, the company's senior bank debt to bank EBITDA ratio was 0.25 and the bank interest coverage ratio was 36.47x.
Daniel Halyk: Thank you, Yuliya. Total's third quarter results demonstrate the resiliency of our diversified business model. Despite challenging North American drilling conditions and margin pressure in our CPS segment as they work through some lower-margin legacy orders, Total continued to generate substantial free cash flow that was used to fund growth opportunities, pay dividends, buyback stock and reduce bank debt. Stable Australian industry conditions and specific customer needs have encouraged Total to invest substantial capital over the past year to upgrade and reactivate several drilling and service rigs under long-term contracts. The upgrade of an idle drilling rig acquired as part of the Saxon acquisition in 2024 has just been completed, and we expect such rig to commence drilling before the end of this month. This will bring our active Australian drilling rig count to 13, the highest ever. An Australian service rig is currently being upgraded and is expected to be completed and commence operations by the second quarter of 2026. North American demand for compression equipment remains exceptionally strong and continues to be driven by significant infrastructure investment related to growing LNG export capacity and demand for natural gas fired power generation. The record fabrication sales backlog, which exceeded $380 million at September 30th, provides visibility well into the second half of 2026. While the CPS segment works through some lower margin orders received in 2024 when market conditions were less favorable, such projects are scheduled to be substantially completed by year-end, and the impact on those orders -- the impact of those orders on margins will cease. Steps taken to mitigate cost inflation and tariff uncertainty are also expected to improve CPS segment margins going forward. This includes commencements of the previously announced expansion of our U.S. fabrication capacity with plant construction expected to be completed by the first quarter of 2027. In Canada, the upgrade of a mechanical double drilling rig to a state-of-the-art AC electric triple pad rig was completed in early November and such rig is currently drilling for a major Canadian producer in the Alberta Montney. This rig's unique design is expected to achieve significant operating efficiencies compared to conventional AC triples. Should its operational and financial performance meet expectations, we have identified several more idle rigs in our Canadian fleet that could be similarly upgraded should market conditions warrant. Although we remain sensitive to current market challenges and uncertainty, we will use our financial strength to pursue acceptable investment opportunities. Specifically, we continue to engage with our Australian customers in regards to future potential growth opportunities. We also continue to work to identify and evaluate North American acquisition opportunities with a view to gaining critical mass in our existing business segments. As we enter the busy winter drilling season in the northern areas of North America, I would like to acknowledge the focus and dedication required of our employees to ensure our operations are conducted safely and efficiently in often extremely harsh weather conditions. I would now like to open up the phone lines for any questions.
Operator: [Operator Instructions] Our first question will come from the line of Tim Monachello with ATB Capital Markets.
Tim Monachello: Just wondering about the Weirton expansion and just the way we should think about revenue cadence on your backlog. Are you capacity constrained currently? And should we expect revenue out of CPS segment to be somewhat similar from a product sales perspective to what it's been over the last couple of quarters as we go through '26 until that expansion is commissioned?
Daniel Halyk: So Tim, I would say, yes, in the U.S., we're pretty much at capacity without some major, I would say, outsourcing and labor changes, including additional shifts. In Canada, we have the ability to ramp up more if we went to further and larger nighttime shifts. So -- there's a cost to doing that. So we're trying to balance the demand and putting orders through the shop with the incremental cost that would arise from adding additional night shifts, primarily in Canada. So certainly, Weirton, when we have the expansion completed, obviously, we're going to be ramping up our labor force in advance of that. And it will take some time once the shop is completed to fully realize the efficiencies and gains that come with that, just primarily due to labor. But that will certainly take a lot of pressure off of Canada and certainly increase our capacity materially in Weirton.
Tim Monachello: That's helpful. And then -- I joined the call a little bit late, but I'm sure you provided some commentary on the compression margins in the quarter. And I'm just wondering if you can provide any additional commentary on, I guess, how -- the pace of expansion given some onetime items in Q3?
Daniel Halyk: Yes. I think there's probably 3 components to the year-over-year margin compression and sequential quarter compression. First would be some fairly volatile FX movements. And again, we have a pretty pragmatic approach to dealing with FX changes to lock in economics on orders, but that's never perfect. And when you have volatility, short-term material swings that can impact and sometimes it's positive, sometimes negative. Year-over-year, it was $1.8 million to the negative, that goes straight to cost of goods sold. The second component would be in 2024, we made -- we took in some orders that were fairly low margin. Specifically, there was one large order that we consciously bid aggressively for some strategic reasons I won't get into, part of which was flexibility on delivery dates, and our ability to load level shop production, and that certainly helped our margins on other packages. And in hindsight, it was the right decision in the sense that the market turned significantly in early 2025. And if we wouldn't have preserved our labor force, we probably wouldn't be enjoying the success we have to date. So, we're now working on those projects. They'll have a short-term hit on our operating margins. But by the end of the year, that will be old news. And certainly, given the significant improvement in market conditions beginning in the early 2025, I would certainly hope our sales group there is bidding work at better margins, because we're running pretty hot right now. And the final point I was going to make is there's cost inflation. It's been a -- as everyone knows, a pretty interesting and dynamic marketplace. Steel is obviously a big component of the inputs within the CPS segment. There was a lot of volatility. And there's a timing difference between when an order is received, when the materials required for that order are procured, and when that order is completed. And so, it's a pretty dynamic environment. And like I said, we managed that pretty well, but no one can manage that perfectly. And I think Q3 was a bit of a perfect storm in terms of some lower-margin projects combined with a lot of volatility in the steel market. Thankfully, that settled down. Compression packages are USMCA compliant. So we haven't faced any issues on that front. But there were some serious questions earlier in the year about whether there would be cross-border issues. And candidly, one of the reasons we're expanding our U.S. production is to get ahead of any potential changes to Canadian-U.S. trade relations.
Tim Monachello: Okay. That makes a lot of sense. And I mentioned -- or I'm glad that you mentioned the -- I guess, the strength of the compression market, you've been booking record order flow for the first 3 quarters of the year. Do you see that continuing in Q4? Is there any leading edge indicators that would suggest any changes to [Technical Difficulty]?
Daniel Halyk: To date, we continue to see very strong demand.
Tim Monachello: Okay. And so, like a booking is placed today, when would a customer expect delivery?
Daniel Halyk: Depends on the unit, but -- and depends how much they're willing to pay. You want to get to the front of the line, there's ways to do that. How do you allocate scarce resource, price? One of the challenges that we're facing right now, Tim, is some of the lead times for major inputs, notably Cat Engines, are now well in excess of 90 weeks. And so, we're effectively having to make decisions on inventory and supply of inputs based on what we think business will look like almost 2 years in advance. And so -- we've been there before, we've never seen quite the lead times we're seeing now. But I can tell you, that's also a benefit to larger players. To try and compete in this market without a balance sheet is very difficult. And you see it in our inventory levels are going up. And like I said, we're having to make investment decisions on inventory 2 years in advance, which, again, I've never seen anything like that. And at some point, the music will slow down or stop. It has before. We've been through that before. You'll have the working capital unwind. And -- but so far, we've seen no signs of that music slowing down.
Tim Monachello: Well, that's positive. And then, I guess the other sort of notable change in the Compression segment in Q3 was a meaningful uptick in your utilization of your rental fleet. Can you talk a little bit about what changed quarter-over-quarter and how you see that progressing as we go --
Daniel Halyk: Well, we had noted that in our Q2 call that we had a subsequent to quarter end, a pretty significant Canadian rental contract for a bunch of our nomads. And it's interesting, the nomads that went out on rent in Q3 are being used by a customer to provide temporary compression as they do a major plant turnaround. And so it's exactly the type of application that the nomads are good for to come in and basically allow a plant to continue operating as the primary compression is rebuilt. So, those things tend to come and go. What we're seeing, particularly in the U.S. is -- and we've seen it before, and it kind of comes in cycles, but pretty aggressive pricing, I'd call it by financial players in the rental market that basically are providing capital leases. We provide an operating lease in the sense we take residual risk. We also build for compression for a bunch of those companies. And so we're not inclined to compete with them. And frankly, our cost of capital is likely higher, so we don't try. So that's put a little bit of pressure on the U.S. rental fleet. But again, for short-term specific applications, that's where we're good at or where customers want the flexibility to keep the units off their balance sheet in terms of not being capital leases.
Tim Monachello: Got it. And then last one for me. Can you just talk a little bit about the opportunity set that you're assessing currently? I know you don't have the '26 budget formalized yet, but just like some of the areas of growth opportunities?
Daniel Halyk: So certainly, in Australia, our performance has been very good operationally. And I think the quality of our equipment is causing continued interest in us reactivating and upgrading rigs. So we're certainly active in that market and discussions. I would say it's largely market share gains as opposed to a growing market. But the overall market in Australia has been pretty stable. We haven't seen material changes there. I would say most of our -- well, pretty much all of it has been market share gains as we displace other suppliers there. Within North America, there's select targeted opportunities to upgrade equipment. I mentioned the triple that went straight to work as soon as it's done. It's in the Alberta Montney, that's a very special rig. And we're watching it keenly as I'm sure others are. And if the business case exists, we won't hesitate to do further similar upgrades. And I think the other thing we're very interested in doing is gaining critical mass in our existing business segments in North America, particularly the U.S., we're going to be disciplined and focused. So we're not going to force anything, but we were able to do a smaller deal in June on the rental side, and we're open about our interest in growing our business down there. And we continue to see opportunities, and we'll evaluate and execute where it makes sense.
Operator: [Operator Instructions] Our next question will come from the line of Josef Schachter with Schachter Energy Research.
Josef Schachter: Going back to Australia, you've got 13 rigs out of your 17 working utilization rate, 55%. What is potentially maximum utilization where we talk 70%, 80% in Canada and the States, depending upon what market you're in. Is that the same kind of target utilization that you could get in that country?
Daniel Halyk: Yes. Certainly -- we could certainly get there. Like I said, we don't see the market growing. It's going to be more market share gains. One of the big challenges in Australia is labor. And so we've taken a fairly methodical approach to expanding our active rig count, in large part not wanting to strain our labor force, and frankly, put inexperienced people in bad positions. And I can tell you, that's our concern globally. It's less of a concern, obviously in North America, given a bit softer market conditions. But we've seen other companies take a more aggressive approach on expansion, and it usually doesn't end well. And a lot of the problems arise from straining your labor force. So we're going to take a very methodical, controlled approach. And you've sort of seen it, Josef, over the past year where it's been the rig at a time. We could certainly be more aggressive. Capital is not the issue. It's in our view, first of all, quality product. So trying to do too much at once is going to strain our supply chains. And number two, equally, if not more important, is ensuring we've got confident labor to staff the equipment.
Josef Schachter: So, of the 4 rigs that are left in Australia, are any of them being looked at by people so that you could upgrade those and put them to work in 2026?
Daniel Halyk: They're being looked at. I'm not going to comment on time lines. I think it depends. Again, Australia tends to be a very long-term, they call them campaigns unlike North America, while Canada is the worst where we tend to be much more of a spot market mentality, where Australia, when you commit a rig, it's for years. And so, these upgrades we're doing are substantial, and take several quarters to do, not weeks. So, I'm not going to comment on timing. I will say we are in active discussions though on a number of fronts there.
Josef Schachter: Okay. Next one for me. Compression margins this quarter, 15% down from 22% a year ago. You mentioned that through year-end, it's going to be lower numbers. Do you -- what's the kind of number that you could see in 2026? Are we going to get back into the 20s? And what would be peak kind of margins in your view for the CPS business?
Daniel Halyk: I think we're learning a little bit as we go. As we discussed earlier, we're starting to push the limits of our plant capacity. Obviously, there's levers we can pull to increase that, but there's cost to doing so. We're also testing continuously the market on pricing. And again, so we're learning as much as anyone as we go into what's been a very strong market. What I would say is Q3, we definitely -- let me put it this way. I hope that's bottom. And from everything I can see at this point, I expect it is. I would say we expect to revert back to margins we saw in the first half of the year. And again, that will occur over the course of Q4 into Q1. And certainly, given the strong demand and strong backlog, the projects we're bidding currently and have bid for the past several months, quoted margins would be substantially in excess of the orders that we're currently -- some of the orders we're working on in Q3 going into Q4.
Josef Schachter: Okay. Last one for me. You've done -- as you said the RTS did a small tuck-under acquisition. Are you preferring to do smaller deals and put them into place or into markets where you want to get bigger up in a certain market? Or are you looking -- given your strong balance sheet, $57 million in cash, would you be looking at things of a bigger scale that would be kind of transactionally growing the company faster and bigger? What's your feeling on the M&A front, [ so ] smaller or looking at bigger deals?
Daniel Halyk: All of the above. If we could do another Savanna acquisition, we're [ game ].
Josef Schachter: Is there a lot of desperation by people given the tough market, especially in the drilling side, that those would be the first opportunities that might come your way?
Daniel Halyk: I would say there's starting to be some alignment between value expectations and current public market valuations for energy service companies. I think -- I would also say there's probably some private companies that are getting tired. So I don't really want to speculate more than that. I would say the pipeline is busy. And -- but it's got to work for our existing shareholders. And again, I use Savanna that we did in 2017 as a prime example where that was an accretive deal, but it also is very beneficial post closing to Savanna shareholders that stayed along for the ride. So this really -- at the end of the day, it's going to be shareholders of the target that decide what they want, and there's public and private. And you can't force those things, but we're also not going to be stupid about it. Tried not to be stupid for 29 years and don't want to start being stupid now.
Operator: [Operator Instructions] Our next question comes from the line of Paul Starkman with [ Shareholder ].
Paul Starkman: You've already touched on this with the questions asked by Tim and Josef, but I was going to ask more high level in terms of the competitive landscape in various regions and why you think you're winning market share? It's a long game. You've got a clean balance sheet. You touched on that. You talked about the strong team members and employees you have driving the business. Oftentimes, there's an inflection point where you sort of start winning a lot more business and your customers start listening more and engaging more and want to work with you more. Maybe if you can comment on that sort of longer term thematic maybe by region as to why you think Total has been winning and will likely continue to do so given the disciplined approach?
Daniel Halyk: So good question, Paul. First and foremost, when we accept business, we expect to execute that business at our high standards, and we won't cut corners. So, if it's in the CPS segment, it means building quality equipment. If it's on the drilling or well servicing or rental, it means providing good equipment with excellent service and safe. People don't hire us to cause problems. What I would say is good operators appreciate that value. But we also have a balance sheet where we can say no if pricing is not acceptable, because we're not going to lower our standards simply to get work. And for people like you that have followed Total over the years, you will see us lose market share in more difficult parts of the cycle, because our preference is to park our equipment rather than operate it at our standards and lose a bunch of money and end up having to recertify it and have generated no profit to pay for the recertification. I would say you've got a fairly significant portion of the market, operators that appreciate that, and are willing to pay for quality and pay for predictability. And we're really seeing that, for example, in Australia. And it's kind of timely, there was -- one of our -- there was a recent catastrophic service rig event -- service rig event in Australia that I think really opened a lot of eyes in terms of what can go wrong, and it was brand new equipment. And so again, I'm not going to get into -- I don't know all the details, but certainly, those events can spook customers, and they gravitate towards operators that have good track records. And I can tell you to have a good long-term track record, you have to be profitable, because you have to be able to reinvest in the business. And so, I think fundamentally, our discipline in terms of operations pricing serves us well in all markets. Definitely, we'll lose some market share on the bottom half of the cycle, we're okay with that, because we're in this for the long haul, not just to say we've got the best rig utilization in a tough market. So I don't know if that answers your question, but...
Unknown Shareholder: Yes. No, that's helpful. I mean quarterly results can be -- can fluctuate. Your model is fairly diversified by region and by vertical. So that's been very helpful. Perfectly clean balance sheet and everything you just touched on, I think everything seems to be moving in the right direction. But it's helpful to hear you reiterate some of the reasons why, again the customers are continually engaging with you, and there's -- and therefore no surprise, there's more opportunities ahead, it seems.
Daniel Halyk: Yes. And I look at our customer base in Australia or even Canada and the U.S., it's blue chip. But it's a wide range. It's private, public, small, large. So, I think it's got to work for both sides over the full cycle, and good customers appreciate that. We have the same perspective with our suppliers. We don't expect them to work for nothing, and it's not in our interest to see our supply chain condense down to one or 2 suppliers. That's not in our long-term interest. So we will definitely support multiple suppliers in weaker parts of the cycle. It's in our interest to have competition for our business. And I would assume our customers see it the same way.
Operator: And that will conclude our question-and-answer session. I'll turn the call back to Dan for any closing comments.
Daniel Halyk: Thank you, everyone, for joining us this morning, and we look forward to speaking with you after we release our year-end results in March. Have a good rest of your day.
Operator: This does conclude our call today. Thank you all for joining. You may now disconnect.